John Woolford: Good morning everyone and welcome to West's First Quarter 2012 Results Conference Call. We issued our financial results this morning and the release has been posted in the Investors section on the company’s website located at www.westpharma.com. If you have not received a copy of this announcement, please call Westwicke Partners at 443-213-0500 and a copy will be sent to you immediately. Posted on the company’s website is the slide presentation that management will refer to in their remarks today. The presentation is in PDF format. Should you require a link to a free download of software that will enable users to view the presentation is also available on the website.
 I remind you that statements made by management on this call and in the presentation will contain forward-looking statements within the meaning of U.S. federal securities law and that are based on management’s beliefs and assumptions, current expectations, estimates and forecasts. Statements that are not historical facts, including statements that are preceded by, followed by, or that include words such as estimate, expect, intend, believe, plan, anticipate, and other words in terms of similar meaning are forward-looking statements. West estimated or anticipated future results, product performance, or other non-historical facts are forward-looking and reflect our current perspective on increasing trends and information.
 Many of the factors that will determine the company’s future results are beyond the ability of the company to control or predict. These statements are subject to known or unknown risks or uncertainties and therefore actual results could differ materially from past results and those expressed or implied in any forward-looking statement. You should bear this in mind as you consider forward-looking statements.
 For a non-exclusive list of factors that could cause actual results to differ from expectations, please refer to today’s press release. Investors are also advised to consult any further disclosures, the company makes on related subjects in the company’s 10-K, 10-Q, and 8-K reports. Except as required by applicable securities law, the company undertakes no obligation to publicly update forward-looking statements whether as a result of new information, future events, or otherwise.
 In addition, during today’s call management may make reference to non-GAAP financial measures, including adjusted operating profit and adjusted diluted EPS. These measures and their component parts have no standardized meaning prescribed by U.S. GAAP and therefore may not be comparable to and should not be viewed as a substitute for U.S. GAAP operating income and diluted EPS. Reconciliations of the non-GAAP financial measures to the most comparable financial results were prepared in conformity to GAAP are provided in materials accompanying this morning’s earnings release.
 At this time, I'd like to turn the call over to Don Morel, West's Chairman and CEO. Don? 
Donald Morel: Thank you very much, John and good morning everyone. Welcome to West's first quarter 2012 conference call. I am joined this morning by Bill Federici, our Chief Financial Officer and by Mike Anderson, our Treasurer and primary Investor Relations contact.
 As in prior calls, we will refer to the slide deck John mentioned in our prepared remarks this morning. In the event you have difficulty accessing the slides, the content of those slides is covered both in this morning's release and our remarks. As you are aware, West pre-released earnings on April 17 and today we will provide a little more detail on what drove our performance.
 Slide 3 provides highlights of our first quarter results. The strong finish we experienced at the close of 2011 carried into 2012 and contributed to record performance in terms of revenues, operating profit and earnings per share for the quarter. On a consolidated basis, revenues grew by 9.1% to $316.3 million, excluding currency effect.
 Pharmaceutical Packaging Systems grew by 11.6% again driven by very strong overall performance from our high value products such as Envision, Westar, and FluroTec. Collectively, this product group grew 14% compared to the first quarter of 2011, which was also very strong.
 In the Delivery Systems segment, revenues were 1.3% higher at constant exchange rate. This modest increase resulted from softer sales in the contract manufacturing and consumer segment, which were partially offset by higher sales in the proprietary products group as a whole. See these sales were a modest $0.5 million and as discussed in our last call are proving to be somewhat lumpy due to customer needs in the near term being limited to sample requirements, pro forma stability, and validation testing necessary for eventual regulatory submission.
 Our consolidated gross margin improved by more than 2.1 percentage points to 31.9% due to very strong growth in advanced pharmaceutical packaging sales and modest volume growth and also good contribution from increased pricing. Pricing was strong in the quarter, because we updated our pricing on non-contract business January 1 and are catching up on margin loss to higher cost experienced through much of last year. Pricing also improved on contracts that reached our anniversary date and were re-priced to account for material and other cost changes over the preceding year. We believe that a significant part of the sales growth was also fueled by growing customer inventories. Our sense confirmed by many, but not all of our customers is that they are shifting away from strategies that emphasized inventory and working capital containment to a lower risk approach in managing their supply chain.
 Overall, SG&A growth was also modest leading to adjusted operating profit of $42.3 million and adjusted diluted earnings per share of $0.83 respectively. As we announced in our pre-release, we now believe revenues for the full year will fall in the range of $1.25 billion to $1.28 billion with a consolidated gross margin of 29.8% and now expect adjusted diluted earnings per share to be between $2.50 and $2.67 per share assuming a euro dollar exchange rate of $1.33.
 Bill will address this in greater detail, but we have essentially captured the outsized first quarter growth coupled with more normalized growth in the second half of the year in our outlook. We believe the second quarter will be a bit stronger than our earlier guidance adjusted, but it's difficult at this time to forecast that strength continuing into the second half of the year.
 Order patterns at the outset of the quarter remained strong and their backlog of firm committed orders is well ahead of where we were a year ago. Without wanting to minimize the growth we realized in the first quarter, it's worth noting that our lead times and sales visibility that have been shrinking in what we called the new normal, not too long ago. Now we are stretching out. This trend does not necessarily mean that the raw growth in orders will translate into higher sales in the subsequent quarter, because more and more of that backlog growth relates to sales in later months. As a result, we have better visibility into the second quarter and more Q3 orders in our books than we did a year ago. Even so, the second half of the year remains difficult to forecast.
 Another factor to bear in mind is that the backlog relates primarily to the pharmaceutical packaging business. We do not have the same visibility in the delivery systems segment due to the high percentage of contract business, which has very short lead times and the unpredictable timing of CZ and other West proprietary product revenues.
 Slide 4 provides highlights of our ongoing expansion of product development programs. This will be a relatively quick update as we will be covering these programs in much greater detail at our Investor Day in New York City on May 23. Starting with our capacity expansion in Asia, the China rubber facility remains on schedule for the start of operations in January next year. Our construction project in India remains subject to the receipt of necessary permits in completion of the formal lease agreement. Front end work on the project continues and we expect physical construction to commence later this quarter, but would not be surprised if it slips into early in the third quarter.
 Global launch of NovaPure West next generation closure system is currently underway. Response to the official U.S. launch at a recent trade conference has been very positive. Initially, the NovaPure line will encompass small volume BioClosures in addition to plunger components with pre-filled syringes. Our customer's recent focus on meeting the markets' rising quality standards, where all aspects of their products leaves us to believe that our NovaPure product line is well-positioned at the right time to lead the market.
 Although CZ sales for the quarter were relatively modest and remain unpredictable in the near term, we firmly believe overall that sales of West proprietary products sales will grow in double-digits for the full year. We also officially opened our expanded clean room and manufacturing facility in the Arizona 2 weeks ago. Now along with the availability of dedicated CZ filling capacity at our partner, Vetter, we can also offer customers the capability to supply their sample requirements for stability and validation before they fully commit their products and timelines of CZ.
 We also continue to invest in late-stage development work on a number of customer proprietary product adaptations. Customer interest in the SmartDose, large volume self-injection system remains robust. Our efforts here are focused again on engineering validation of the CZ cartridge system and optimizing the supply chain for the device itself. So the customers can be given a requisite stability and eventually user and clinical studies required.
 I'd now like to turn the call over to Bill Federici for a more detailed look at our Q1 results. Bill? 
William Federici: Thank you, Don, and good morning everyone. We issued our first quarter results this morning reporting net income up $29.2 million or $0.81 per diluted share versus the $0.56 per diluted share we reported in the first quarter of 2011.
 Our first quarter results are summarized on Slide 5 of the accompanying PowerPoint presentation and in the release. As explained in the release, results in both periods included restructuring charges and discrete tax items. Excluding the effect of these items in both periods and a Q1, 2012 adjustment to our liabilities for contingent consideration from recent acquisitions, first quarter 2012 earnings were $0.83 per diluted share versus the $0.60 we earned in the first quarter of 2011, a net increase of 38%.
 Turning to sales, Slide 6 shows the components of our consolidated sales increase. Consolidated first quarter sales were $316.3 million, an increase of 9.1% over first quarter 2011 sales, excluding exchange effects. Packaging systems sales increased 11.6% over same quarter 2011 sales excluding currency. Sales price increases in packaging systems contributed approximately 3.2 percentage points of the increase. Favorable sales mix and modest volume increases accounted for most of the remainder of the increase. For the packaging systems segment as a whole, sales growth in our high value products, specifically Envision and Westar processed packaging components increased 14% versus the prior year quarter.
 Our Q1, 2012 sales comparisons to the prior year benefited from a customer's product launch, customer inventory management activities, and validation activities in advance of customer product and plant relocations. These special activities boosted Q1, 2012 packaging systems sales by approximately 5 percentage points. Delivery systems sales increased by approximately 1% over sales in the prior year quarter, excluding exchange. Higher demand for our safety and reconstitution systems as well as contract manufacturer healthcare devices drove the sales increase.
 Sales of proprietary products were $17 million or 21% of the segment's revenues in the quarter slightly ahead of the prior year quarter's 20%. CZ sales and development activity were approximately $0.5 million in Q1, about $1.4 million less than the prior year quarter. Full year CZ 2012 sales are now expected to be approximately $8 million to $10 million. Total proprietary product sales are expected to grow between $7 million and $11 million for 2012.
 As provided on Slide 7, our consolidated gross profit margin for Q1, 2012 was 31.9% versus the 29.8% margin we achieved in the first quarter of 2011. Packaging systems' first quarter gross margin of 36.1% was 2.2 margin points higher than the 33.9% achieved in the first quarter of '11. High raw material prices and general inflationary increases in costs continue to put pressure on margins, but the impact was more than overcome by the sales price actions that took effect over the past few quarters, the favorable mix of products sold, and continued lean savings and efficiencies in our plants. Delivery systems' first quarter gross margin improved 1.3 margin points to 19.7% compared to the prior year quarter. Improvement in margins is mostly from the increased volume and mix of revenues generated. Our previous restructuring efforts also helped improve the overall margins in this division.
 As reflected on Slide 8, Q1, 2012 consolidated SG&A expense increased by $700,000 versus the prior year quarter. Higher pension cost, information systems cost, and sales incentive comp were partially offset by currency effects and restructuring savings. As a percentage of sales first quarter 2012, SG&A expense was 16.2% versus 17.1% in the first quarter of 2011.
 Slide 9 shows our key cash flow metrics. Operating cash flow was $13.8 million for the quarter ended March 31, 2012, $4.3 million more than the prior year quarter with most of the difference attributed to the higher net income offset by higher receivables and the timing of pension contributions. Capital additions of $35 million were made in the quarter, including $3.4 million in accrued capital, most of which is for the new corporate office facility. Roughly half of the capital is spent on new product and expansion efforts. We expect to spend approximately $135 million to $155 million in capital in 2012 including approximately $40 million of cost that will be incurred for our new corporate office and research facility, which will be funded upon our occupancy at the end of '12 or early '13.
 Slide 10 provides some summary balance sheet information. Our balance sheet continues to be strong and we are confident that our business will provide necessary future liquidity. Our cash balance at March 31 was $100 million, $8.4 million higher than our December 2011 balance. Additionally, not included in that cash balance, is $26 million of short-term investments with maturities of less than 1 year. As a remainder, substantially all of our cash is invested overseas and is generally not available to be repatriated to the U.S. We are incurring significant local and U.S. tax consequences.
 Debt at March 31 was $381 million, $32 million higher than at the year end and due primarily to increased borrowing on our revolving debt facility to fund our Q1 pension contribution and other normal cash needs. Our net debt's total invested capital ratio at quarter end was 28.8% slightly higher than the prior year end ratio.
 Working capital totaled $200 million at March 31, $28 million lower than in the prior year end. The main reason for the decrease in working capital was due to the reclassification of $27 million of our private placement notes to current liabilities reflecting their stated maturity date of February 2013 and $32 million of accrued new building costs, which are expected to be funded within 12 months. The increase in our accounts receivable balances is due to higher sales level in the current quarter.
 Our backlog of committed orders continues to strengthen, which had $323 million as of March 2012 is 15% higher than the March 2011 balance excluding exchange and represents a continued lengthening of customer orders. Based on our strong Q1, 2012 results and our strengthening backlogs, we revised upward our full year 2012 guidance in this morning's release. That guidance is summarized on Slide 11.
 We have based our guidance on exchange rate of $1.33 million per euro. By contrast, our 2011 actual rates are translated at a $1.39 per euro rate. This strengthening of the dollar creates adverse earnings comparisons to the prior year. Each $0.01 strengthening of the dollar versus the euro results in just over $0.01 reduction of full year EPS as a result of translation. We now believe revenue growth will be in the 7% to 10% range at constant exchange rates. We believe the sales increase range includes 2% to 3% of customer inventory builds and product launch activities, which we believe are not indicative of a normal sales run rate. Our consolidated sales for '12 are estimated to be in the range of $1.25 billion to $1.28 billion at current exchange rates. We expect both operating segments to generate margin expansion. Taking all of those expectations into account, we expect our full year earnings per diluted share to fall in the range of $2.50 to $2.67 excluding restructuring costs and including adverse currency effects.
 Slide 12 shows several significant factors that have been evidenced in our Q1 results and which are expected to impact our margins throughout 2012. We are seeing and expect higher than average price increases, a continued favorable mix shift towards high value products and lean savings programs to more than offset higher raw material costs and normal inflationary cost increases. It should be kept in mind that the larger than average price increases are in part recouping higher input costs that we incurred as early as the year ago, but will have a lesser effect on comparisons to last year in the second half, because we imposed raw materials surcharge on some customers beginning in Q3, 2011. The net effect is expected to produce full year 2012 expanded margins compared to the compressed margins of 2011 and importantly very good EPS growth.
 And now, I'd like to turn the call back over to Don Morel. Don? 
Donald Morel: Thank you very much, Bill. As a final reminder, West will host its Biannual Investor Day on May 23 in New York City at the Millenium [indiscernible] Hotel. This concludes our remarks this morning. Then Bill and I would now be pleased to answer any questions you might have. 
Operator: Okay. Ladies and gentlemen, please be aware, this call is being recorded on behalf of West and its copyrighted material. It cannot be rerecorded or rebroadcast without the company's expressed permission. Your participation in this call implies your consent to our taping. If you have any objections, you may disconnect at this time. And now I'd like to open up for question-and-answer. [Operator Instructions] Okay. The first question comes from the line of Arnold Ursaner. 
Arnold Ursaner: My question relates to in the quarter you highlighted an initial pipeline fills for a new product rollout for one of your customers, maybe you could expand on that a little more. Don, we have had the FDA move forward on more drugs in the last few months than they have in the last several years. Looking forward, are you aware or seeing additional pipeline fills that you expect to get as these new biologics hit the market? 
Donald Morel: They are difficult to predict. We are seeing a couple Arnie. These tender rollout in kind of a wave-like fashion you will have an inventory build that supports the immediate launch and then you'll have a little bit of a softer period until it fix up more normalized than expected growth rate, but yes, we do expect some others to flow through over the next 12 to 18 months. 
Arnold Ursaner: But those are not embedded. You mentioned 2% to 3% of the expected growth is… 
Donald Morel: These are not embedded in those numbers. 
Arnold Ursaner: Okay. And your $323 million backlog, you normally given the tremendous sales growth you had in Q1 your backlog would have shrank, you mentioned though you are seeing the lengthening of timing of customer orders. Can you expand a little bit on what that timing is now and are you seeing customers react to that lengthening by perhaps much more aggressively placing orders to be sure they have capacity? 
Donald Morel: Well, I think that a couple of things that play here. One is that with the Fukushima situation last year, clearly, many customers are rethinking their strategic inventories after a time when they were shrinking as part of their inventory and working capital management programs. A couple of years ago, we were talking about shorter lead times and smaller orders being the new normal. Now, we are seeing what we believe is the more rational inventory approach leading to extended larger orders over a longer period of time like we would have seen 12 to 24 months I guess. So and in fact, what's happening is the composition of the backlog is taking on a situation, where the majority of the orders are going to fall into the current quarter, but we are seeing a lengthening of the tail into the third and even in some extraordinary cases although small dollar volume into the fourth quarter. We think that, that's a positive. 
Arnold Ursaner: Okay. And what is the current length and although it's placing an order now what is the length of time before it's filled? 
Donald Morel: It depends on the specific product, but average in the rubber facility is there was probably 10 to 12 weeks. Metals would be a little bit less depending on the product, probably 8 to 10. 
Arnold Ursaner: Okay. My final question if I can is on Vetter, you obviously have worked out this agreement, where your customers can do more aggressive testing to move forward on things like CZ, can you give us any sense and maybe it's more the Analyst Day question of how many products are currently at Vetter. How many - what's their capacity has enabled your customers to do? Can you expand on that a little bit please? 
Donald Morel: Yes. What the Vetter operation does is provide a dedicated CZ billing capability for the 1mL long insert needle syringe. And the reason that's important is that customers can now go to a source, where it is CZ only. There is no potential for cross contamination with processing glass on the same line. And they can use that facility to fill not only formal stability samples, where the data can be used for regulatory submission, but they also have limited capability for clinical and small commercial fills. So, that line I believe has the capability at full run rates to do approximately 5 million units per year. I'd like to be able to provide more color on specific products, but unfortunately, because of confidentiality provisions I can't. 
Operator: [Operator Instructions] The next question comes from the line of Kipp Davis. 
Kipp Davis: This is Kipp Davis from [indiscernible]. She has team over Barclays. Thanks for taking the questions. So, just a quick question, I know CZ kind of mentioned lumpy due to customer needs and I think you said it was $0.5 million in the quarter, but she also I think said there was $8 million to $10 million for the full year. Is that sort of more a reflection of you've got visibility into what customer demands are, just aware, it falls in, in a particular quarter. You just might not see it there. Am I reading that correctly into how you think about your target for the full year? 
William Federici: Absolutely. The target for the full year is $8 million to $10 million and it is due to the lumpiness of it. We have very little ability to predict in advance how those orders will come through, but we think based on the level of activity that, that's our best guess at this point in time. If you think about it in the overall spectrum of the proprietary products - the proprietary products in delivery systems space even with the modest CZ sales in the first quarter are still expected to expand by $7 million to $11 million, which is again a double-digit growth rate for the full year of 2012. 
Kipp Davis: Got it, okay, make sense. 
Donald Morel: One more comment on CZ, I think it's appropriate, it's important for people to remember that our CZ sales reflect mostly proprietary product development for our customers in addition to the 1mL syringe that we manufacture in Arizona. Our CZ sales overall through our Japanese affiliate, Daikyo were up very strongly last year and reflect vial sales and what is called syringe sales that we don't produce.
 Overall, Daikyo CZ sales continue to be strong, ours is more R&D reflective, which as we talked about tends to be kind of unpredictable. 
Kipp Davis: Sure, sure. And then I guess another question, I know you guys had commented on - you got the benefit from some sales price increases on Jan 1, you are going to see less of that in the back half of the year just because you guys put in some price escalators in the back half of '11. So, I guess when we think about gross margin in the first quarter benefited 1.7% overall from sales price increases. If you think about 2Qs that will be somewhat similar, we're thinking that ought to be lower a little bit as well or really should be pretty much the same as we think about 2Q numbers in terms of the impact there. 
Donald Morel: The impact on the sales will be roughly the same, not exactly, but in that same order of magnitude that the - our thing that we have to deal with on the margins is the other factors that also impact and work against that namely, we think raw material which was modest compared to increases were moderated compared to what they were in - certainly in 2011. They continue to remain in a fairly elevated level and you have normal inflationary costs that have also increased since the past year. So, when you look at all of those things combined together, we do believe that we will get margin expansion over the full year, but it's certainly will be more in the first half and less in the second half of the year. 
Kipp Davis: Okay. And then lastly I know you guys have communicated growth rates in the India and China markets were well, a very small percentage of overall sales growing nicely in a sort of 20% to 25% range. Is that continue to be the case and I guess as you think about those markets with China coming on in January, India, may be a little bit delayed in terms of getting that up and running with the facility there. How do you think about it from a 5-year out, 10-year out standpoint, where do you want that to go and how should we think about sort of normalized growth rates in those markets and should we continue to see them growing strongly as they have. 
Donald Morel: Bring the simple answer is yes, I mean, Asia overall is a reporting unit and the quarter was up about 15%, it's up very strong. The growth rate that we've seen over the past 12 months in China and India both are still pretty much in place tend to be in the 20% to 25% range. For us strategically, China and India are both according to serve not only the domestic markets, but also the multinational customers that have operations there and we're looking for product comparability to export back to the western markets. I think we spoken publicly before that the expansion we've been in Singapore will likely be out of capacity and the mid 2013 kind of timeframe, which is important for the China capacity to come online early. India will not be that delayed in terms of its actual startup. We may see a month or 2 delay before we get the permitting in some of the bureaucratic stuff that we have to get out of the way, but overall we expect to hold to our timeline for beginning operations there. It's also important to note that China is rubber purely, where as India will be a combination plant of both metal seals and rubber components for the domestic market as well for exports. But in the longer term over the 5 to 10-year period you referenced, we expect that region to be a very, very key part of our overall growth 
Operator: Your next question comes from the line of Ross Taylor, CL King. 
Ross Taylor: Just 2 or 3 quick questions. First, I mean, not have understood the all of your remarks, but I think you mentioned a bunch of factor than in aggregate may be boost the demand on the form packaging side by about 5% in the quarter. And I wondered if any of those factors are you are going to be carrying over into Q2 given that it sounds like business momentum is probably going to be pretty strong this quarter as well? 
William Federici: Yes, absolutely, Ross. We thought in the first quarter about 5% as you said packaging sales when we look out to the full year, we think we had some of that because we have the backlog that we can look into. We see a similar kind of like amount in the second quarter to the what our knowledge is at this point, still not perfect knowledge since we still some way to go in quarter 2. But for the full year when we look at the effects and we said we mentioned the 7% to 10% currency neutral growth rate in sales for the company, we’re looking at something between 2% and 3% of that number being the special non run rate kind of items. 
Ross Taylor: Okay, alright. And it looks at least based on some of the information in the press release and then your slideshow that mix was a good benefit in the quarter. And is mix then contributing more to your results recently and if so is that maybe due to change in customer behavior for some of the higher products that are buying or is it maybe kind of growing momentum from some of your relatively new products? 
Donald Morel: I think it really is validation of the strategy, value-added sales approach and us incremental and selling more value per units. We are benefiting from a lot of increased regulatory scrutiny on our customer’s manufacturing operation. But it’s clearly evidenced that they are leading towards very clean particular free validated and certified products to reduce the risk in their own operation. So, our expectation is that we are going to see a lot of our revenue growth driven by continued sales increases in the value-added product category. 
Ross Taylor: Okay. And my final question is on, you also mentioned in your press release some development revenue related to SmartDose. Can you give any color is to what that particular application might be? What some of the funding revenue was going towards exactly? 
Donald Morel: Basically, was revenue end an engineering time where we were making some modifications to the device that are proprietary to the customer in question. Can’t provide a whole lot of color other than that basically a milestone payment for engineering sources. 
William Federici: And the amount in the full year is very, very modest Ross, it’s less than $5 million that we expect to the full year. 
Operator: The next question comes from the line of David Windley, Jefferies. 
David Windley: Hi, I apologize I did have to join the call late, good morning. I wanted to, I guess revisit, I’m sure you've commented on it already, but revisit your view about the sustainability of this heightened demand and inventory building by customers, I think you’ve included the benefit to 1Q and maybe a little bit more forward-benefiting your guidance, but just we'd love to get a kind of down in the weeds in terms of how much visibility you have to the sustainability of that buying pattern? 
William Federici: Yes, Dave, we’ll answer, I’ll answer the numeric part of it and then if you need more color, we'll try to give you some more, but as we said, it was 5% in the quarter of packaging systems sales. And we do because of our backlog we do see additional amounts coming in, in the second quarter that we can identify of roughly the same kind of order of magnitude. The third and fourth quarter because of the lack of visibility, it's a little more difficult to predict, but when we went ahead and produced the guidance that we've put out there of 7% to 10% currency neutral sales growth approximately 2% to 3% of that number, we believe are these non run-rate type sales items. So, there is a chunk of it sitting in the back half of the year again not identified, because we really don’t have a lot of visibility. However, we still believe that it’s - that it continues that type of process and mindset by our customers continues. 
David Windley: Okay. And regard, Don to your comments about you have a higher value product buying, does the strategy there is, as I have understood it has been to kind of up sale in shift mix toward those higher value products in a way that would enhance your margin due to those. Is that a continual demand or continual process by the customer and other words as they shift overall into vision inspected and watched and so forth that, that becomes standard and that starts to get pressure from a pricing standpoint and you have to find the next upgrade. Just wondering how that cycle plays out? 
Donald Morel: Yes. So, the incremental process where you do see that kind of shift, I mean, remember we've always talked about the fact that the therapeutic category that utilized those components are the ones that are going to drive our growth, oncology, diabetes, vaccines, anything that basically is a biotherapeutic protein is consuming those kinds of products. So, those categories increased, our sales increased. The other part of the coin is that as you get ongoing regulatory pressure and some of our other customers operations that are small molecule that tends to drive a value-added products to those as well so, we're getting growth actually out of both parts of it. 
Operator: We have no further questions. So, now I’d like to turn the call back over to Mr. Don Morel, Chairman and CEO. 
Donald Morel: Thank you very much for your time this morning. This concludes our formal remarks. 
Operator: Okay. Thank you for the participation in today's conference. Ladies and gentlemen, this concludes the presentation. You may now disconnect and have a good day.